Operator: All participants, thank you for standing by, the conference is ready to begin. Good day, ladies and gentlemen. Welcome to the TransCanada Corporation 2015 Fourth Quarter Results Conference Call. I would now like to turn the meeting over to Mr. David Moneta, Vice President, Investor Relations. Please go ahead, Mr. Moneta.
David Moneta: Thanks very much and good afternoon, everyone. I'd like to welcome you to TransCanada's 2015 fourth quarter conference call. With me today are, Russ Girling, President and Chief Executive Officer; Don Marchand, Executive Vice President Corporate Development and Chief Financial Officer; Alex Pourbaix, Chief Operating Officer; Karl Johannson, President of our Natural Gas Pipelines business; Paul Miller, President of Liquids Pipelines Business; Bill Taylor, President of Energy; and Glenn Menuz, Vice President and Controller. Russ and Don will begin today with some opening comments on our financial results and certain other company developments. Please note that a slide presentation will accompany their remarks. A copy of the presentation is available on our website at transcanada.com. It can be found in the Investors section under the heading, Events & Presentations. Following their prepared remarks, we will turn the call over to the conference coordinator for your questions. During the question-and-answer period, we'll take questions from the investment community first, followed by the media. In order to provide everyone with an equal opportunity to participate, we ask that you limit yourself to two questions. If you have additional questions, please re-enter the queue. Also, we ask that you focus your questions on our industry, our corporate strategy, recent developments, and key elements of our financial performance. If you have detailed questions relating to some of our smaller operations or your detailed financial models, Stewart and I would be pleased to discuss some with you following the call. Before Russ begins, I'd like to remind you that our remarks today will include forward-looking statements that are subject to important risks and uncertainties. For more information on these risks and uncertainties, please see the reports filed by TransCanada with Canadian securities regulators and with the US Securities and Exchange Commission. And finally, I'd also like to point out that during the presentation, we'll refer to measures such as comparable earnings, comparable earnings per share, earnings before interest, taxes, depreciation, and amortization, or EBITDA, comparable EBITDA, and funds generated from operations and distributable cash flow. These and certain other comparable measures do not have any standardized meaning under GAAP and are therefore considered to be non-GAAP measures. As a result, they may not be comparable to similar measures presented by other entities. These measures are used to provide you with additional information on TransCanada's operating performance, liquidity, and its ability to generate funds to finance its operations. With that, I'll now turn the call over to Russ.
Russ Girling: Thanks, David, and good afternoon, everyone, and thank you very much for joining us this afternoon. Although 2015 was a very challenging year for the energy industry across North America, I am very proud to report our portfolio of high quality, long life critical energy infrastructure assets performed very well. Our $64 billion asset base is largely underpinned by cost of service, regulated models or long-term contracts with solid counterparties. As a result, our cash flows are highly predictable with minimal commodity volumetric risk. In 2015, excluding non-recurring items, comparable earnings and funds generated from operations reached record levels. While we continue to deliver the energy millions of people across North America rely on every day. In addition, in 2015, we initiated a restructuring that was focused on further improving the performance of that base business and providing the organizational platform for us to continue to grow. Looking forward, we remain well-positioned to continue to grow earnings, cash flow and dividend in the years ahead. We are proceeding with $13 billion of near-term growth opportunities that are expected to be in service by 2018. And based on the stability of our base business that visible near-term growth and our financial strength, we expect to continue grow our dividend at an average annual rate of 8% to 10% through 2020. Over the medium to longer term, we continue to advance $45 billion of commercially secured large scale projects that have the potential to transform our company, and augment and extend our dividend growth expectations and create substantial long-term shareholder value. Obviously, we're extremely disappointed by the arbitrary and unjustified denial of the Presidential permit for Keystone XL in early November. As a result of that denial, the company recorded a $2.9 billion after-tax non-cash impairment charge. This impairment charge was the primary reason for the reported loss attributable to common shares of $1.2 billion or $1.75 per share for the year ended December 31, 2015. In response to that denial, in early January, we filed a notice of intent to initiate a claim under Chapter 11 of the North American Free Trade Agreement, and in addition we filed a lawsuit in the US federal court in Houston, Texas, asserting that the President’s decision to deny the construction of Keystone XL exceeded his powers under the US Constitution. Excluding, the Keystone XL impairment charge and other non-recurring items, comparable earnings were $1.8 billion or $2.48 per share, comparable EBITDA was $5.9 billion, funds generated from operations were $4.5 billion and comparable distributable cash flow was $3.6 billion or $5.12 per share. Through 2015, we continued our focus on maintaining a great credit, access to capital markets and allocating capital to enhance shareholder value. During 2015, we raised over $5.5 billion of debt and subordinated capital at very attractive rates to fund our capital growth program and we initiated a shareholder buyback program, which saw us repurchase 7 million shares or about 1% of our outstanding common stock. We do recognize the value our shareholders place on a stable and growing dividend. Based on continued growth and sustainable cash flow and earnings, our Board of Directors approved an annual quarterly dividend of $0.565 for the fourth quarter ending March 31, 2016. That equates to $2.26 on an annual basis for 2015, representing an $0.18 or 9% increase over 2015. This is the 16th consecutive year, the Board has raised the common dividend and our objective continues to grow the dividend in conjunction with sustainable increases in cash flow and earnings. Based on the stability of our base business, as I said, our visible near-term growth projects financial strength, we expect to continue to grow that dividend, as I said, at an 8% to 10% rate through the rest of the decade. If we’re successful in advancing additional growth initiatives, dividend growth could be augmented and extended. Before I pass the call to Don to provide you some more details of the financial results in both the quarter and the year, I’d like to provide you some updates on the strategic initiatives that occurred during the last quarter starting with our gas business. In November, we announced $570 million expansion of the NGTL System for 2018 that includes multiple projects. We plan to file various applications with the National Energy Board, needed to build and operate the required facilities between the second and fourth quarters of this year. Construction would start in 2017 with all of the facilities expected to be operational in 2018. Including the 2018 expansion, the NGTL System now has $5.4 billion of new supply and demand facilities under development over the next three years. $2.3 billion of these facilities have been approved by the regulators and another $2 billion is working their way through the regulatory process. In December, we reached a two-year revenue requirement agreement with our customers and other interested parties on the annual cost, including return on equity and depreciation required to operate the NGTL System for 2016 and 2017. In Mexico, progress continues as well. In November, we were awarded the contract to build, and own and operate the US $500 million Tuxpan-Tula natural gas pipeline under a 25-year contract with Mexico state-owned electric utility. Construction is expected to begin in 2016 and the pipeline should be operational in the fourth quarter of 2017. The US $1 billion Topolobampo project and the US $400 million of Mazatlan natural gas pipeline are in the final stages of construction and are expected to be operational in late 2016. In our US pipeline division, ANR filed a Section 4 Rate Case in late a January the request an increase in ANR’s maximum transportation rates. Changes in ANR’s traditional supply sources, markets, necessary operational changes, needed infrastructure updates and an evolving regulatory requirement are driving the need for investment in the pipeline system as well as driving higher operating costs. As a result, current tariff rates would not provide a reasonable return on investment. In parallel with the FERC application process, we will pursue a negotiation with our customers in an attempt to achieve a mutually beneficial outcome, and as always our preference is to settle rates with our customers if we can. ANR’s last rate case filing was more than 20 years ago. Moving over to the liquid side of our business, construction continues on the $1 billion Northern Korea project. 100% of that pipeline’s capacity is contracted to the Fort Hills partners under 25-year shipping agreement. We expect that project to be ready for service in 2017. Construction is progressing on the Grand Rapids project, a partnership with Brion Energy with each partner owning 50% of the pipeline. Phase 1 of that initiative, which will require $900 million in investment for our share is expected to begin transporting crude oil in 2017. We'll continue to assess Phase 2 of the project and in-service data will depend on there being sufficient demand for that project. On the energy side of our business, we achieved a major milestone in the fourth quarter. In early December, we announced that Bruce Power had entered into an agreement with the Ontario independent electric system operator to extend the operating life of the Bruce Power facility to 2064 or close to four decades of more operation. This agreement provides the Ontario residents with affordable, reliable, emission-less energy for decades to come and provides TransCanada shareholders with a very attractive and secure investment opportunity for many years to come. This agreement is an extension and material amendment to the early agreement that led refurbishments of Units 1 and 2 at the site. The agreement provides a framework to refurbish the remaining six units at the site between 2020 and 2033. Our estimated share of investment in the asset management capital program to be completed over the life of the agreement is approximately $2.5 million and that’s in 2014 dollars and our share of the major component replacement work is approximately $4 billion for work on Units 3-8 over the 2020 to 2033 timeframe, again those are in 2014 dollars. TransCanada also exercises option to acquire an additional 14.89% interest in Bruce B or $236 million from the Ontario Municipal Employees Retirement System equalizing our ownership with our major partner in that facility. Bruce A and Bruce B merged into one entity, we now hold 48.5% interest in the combined Bruce entity. Also in February, we completed an agreement to acquire the 778 MW Ironwood power plant in Lebanon, Pennsylvania from Talen Energy for US $657 million. That acquisition is expected to be immediately accretive to cash flow and earnings and generate approximately US $92 million to $110 million of EBITDA. The Ironwood power plant delivers energy into the PJM power market and will provide us with a solid backstop to our existing marketing business in that region. Construction continues on the 900 MW Napanee plant are located in Eastern Ontario and is now about 25% complete. The facility will provide clean energy under a 20-year supply contract with the provincial independent electric system operator and that $1 billion plant is expected to be operational in late ‘17 or early 2018. Moving to our longer term projects, on Energy East, we filed an amendment in mid-December to its existing application with the National Energy Board that adjusts the proposed pipeline route, scope and capital costs, which now sits at approximately $15.7 billion. We also updated information related to our $2 billion energy Eastern Mainline project, highlighting an agreement with Eastern local distribution that resolves their issues with Energy East. What we know is that pipelines remain the safest and least greenhouse gas intensive way of transporting oil to Canadian refineries, Energy East has the capacity to displace approximately 1,570 railcars of crude oil per day to Eastern Canada. We are in the process of assessing the potential impacts of the energy to Energy East as the federal government has announced changes, the regulatory review for pipelines. However, we remain committed to a 2020 in-service date at this time. In the quarter, we continued to be advance our two West Coast large scale gas transmission projects, the $5 billion Prince Rupert Gas Transmission project now has all the primary regulatory permits required from the BC Oil and Gas Commission and the BC Environmental Assessment Office. Pacific Northwest LNG is awaiting a positive regulatory decision related to an environmental assessment that has been conducted by the Government of Canada, and we saw a draft report today, which we continue to review. We remain on target to begin construction of at Prince Rupert project following confirmation of a final investment decision from Pacific Northwest LNG. The in-service date is estimated to be 2020, but will be aligned with Pacific Northwest LNG's liquefaction facility timeline. On a $4.8 billion Coastal GasLink project, we signed five more project agreements with First Nation in Northern BC during the quarter, bringing that overall total to 11. We’ve received 8 of our 10 permits from the BC Oil and Gas Commission for that project and we anticipate receiving the remaining few permits needed in the first quarter of this year. The Coastal GasLink project has also received its environmental permits from BC Environmental Assessment Office. The project team continues to work with our partner through the regulatory process with a focus on supporting a positive final investment decision later this year. Before I wrap up, I’d like to make few more comments regarding the restructuring and transformation initiatives that we began implementing in the middle of last year. In order to streamline our decision-making processes at the company, improve efficiencies and our competitiveness, enhance our capacity to grow our existing portfolio, we initiated a plan to decentralize many of our operating project and functional support groups placing greater responsibility and accountability on our business unit leaders for decisions that impact their areas of responsibility. The restructuring will provide a clear focus on safety, generate efficiencies and operations, optimize availability, streamline decision-making and maximize the value of each of our business units. This will lower our cost for both TransCanada and our customers. Don will provide you a few more details on the financial impacts of that reorganization in a minute, but what I would say is that it has moved along very well to-date. So to conclude, our portfolio of high quality energy infrastructure assets performed very well in quarter and in the year. Excluding non-recurring items, comparable earnings and funds generated from operations in 2015 reached record levels. Looking forward, our base business will continue to grow with $13 billion of commercially secured projects coming into service by 2018, and because of those projects are largely regulated and contracted - or contacted, our future cash flows will become proportionally even more stable and predictable than they are today. Our strong financial position, our growing cash flow means that we are well-positioned to prudently fund our capital programs and continue to grow our dividend at an average annual rate of 8% to 10% through the end of the decade. Over the medium to longer term, as I said, we continue to advance $45 billion of commercially secured large-scale projects that have the potential to create substantial additional long-term shareholder value. It is our expectation that disciplined execution of our plan will lead to growth in cash flow, earnings and dividends, and create enduring long-term shareholder value. I’ll now turn the call over to Don for a few more details on our financial performance in both the fourth quarter and 2015. Don?
Don Marchand: Thanks, Russ, and good afternoon everyone. As highlighted in our new release this morning, we reported a net loss in the fourth of $2.5 billion after-tax, or $3.47 per share. This compares to a reported net income in the same quarter of 2014 to $458 million or $0.65 per share. As Russ indicated, the loss primarily stems from a non-cash impairment charge of $2.9 billion related to our investment in Keystone XL. In addition, there were a number of other specific non-comparable items in the fourth quarter: include an $86 million after-tax loss from the sale of TC Offshore, $60 million after-tax charge for our restructuring and business transformation initiatives, $43 million after-tax charge related to an impairment of turbine equipment held for future use in energy, a debt retirement charge of $27 million after-tax related to the merger of Bruce A and Bruce B, and a positive $199 million impact to our non-controlling interests in TC PipeLines LP related to the impairment of their equity investments in Great Lakes. Excluding these items, comparable earnings for the fourth quarter 2015 were $453 million or $0.64 per share compared to $511 million or $0.72 per share for the same period last year. For the year ended December 31, 2015, comparable earnings reached a record $1.8 billion or $2.48 per share compared to $1.7 billion or $2.42 per share in 2014. Lower contributions in the quarter from Canadian Power and the Canadian Mainline were partially offset by our earnings from the Keystone System compared to 2014. In terms of our business segment results at the EBITDA level, our natural gas pipelines business generated comparable EBITDA of $984 million in the fourth quarter 2015 compared to $884 million for the same period last year. Canadian gas pipelines comparable EBITDA of $645 million was largely unchanged compared to 2014. For the quarter, net income from the Canadian Mainline decreased by $63 million compared to the same period last year. The reduction was primarily related to a lower ROE of 10.1% in 2015% versus a 11.5% in 2014 and $59 million of full year after-tax incentive earnings that were recorded in the fourth quarter of 2014 following the NEB approval of our 2015, 2020 tools application. NGTL's quarterly net income increased $10 million year-over-year to $69 million due to a higher average investment base and OM&A incentive losses realized in 2014 that were not repeated in 2015. US and international natural gas pipelines comparable EBITDA of $347 million increased $98 million compared to fourth quarter 2014, primarily as a result of higher contracted transportation revenue on ANR's Southeast Mainline and the positive impact of the stronger US dollar. In liquids, the Keystone pipeline system generated $348 million of comparable EBITDA in the fourth quarter. This represents a $54 million year-over-year increase and is the result of higher contracted transportation volumes along with the with the favorable impact of a stronger US dollar. Turning to energy, comparable EBITDA was down $110 million to $275 million in the fourth quarter. Within the energy segment, Western Power comparable EBITDA decreased $60 million due to lower realized power prices and lower purchased EPA volumes. Eastern Power EBITDA fell $26 million year-over-year, primarily due to lower earnings in the sale of unused natural gas transportation. Bruce Power equity income of $83 million, declined $32 million from 2014 due to lower volumes resulting from higher planned outage days and higher operating expenses at Bruce A partially offset by higher volumes resulting from fewer planned outage days and lower lease expense at Bruce B. US power comparable EBITDA increased by $12 million compared to last year due to stronger US dollar and higher generation at Ravenswood partially offset by lower capacity revenue at Ravenswood and lower realized prices in New England. Natural gas storage comparable EBITDA decreased $5 million to $7 million in fourth quarter 2015 due to lower realized storage spreads. Now turning to the other income statement items on slide 22. Comparable interest expense of $380 million in the fourth quarter increased $57 million compared to the same period last year. This was primarily due to higher interest charges on recent US debt issues partially offset by scheduled debt maturity, higher foreign exchange on interest denominated in US dollars and lower capitalized interest primarily due to the cessation of interest capitalization on Keystone XL following the November 6, 2015 denial of the US Presidential Permit. In fourth quarter of 2015, comparable interest income and other increased by $36 million over the same period in 2014 due to the net effect of increased AFUDC related to our rate regulated projects primarily Energy East and Mexico, higher realized losses on derivatives used to manage our net exposure to foreign exchange fluctuations on US dollar denominated income, and a negative impact of the translation of foreign currency denominated working capital. In 2016, translation of the US dollar denominated income streams net of natural hedge of interest on our US dollar debt and our active foreign currency management program is expected to have a positive year-over-year impact on our Canadian dollar earnings. Comparable income tax expense for fourth quarter of 2015 decreased $8 million versus the same period last year, mainly as a result of lower pre-tax earnings and changes in the proportion of income earned between Canadian and foreign jurisdictions. Comparable net income attributable to non-controlling interests increased by $17 million for three months ended December 31, 2015 compared to the same period in 2014 primarily due to the sale of our remaining 30% direct interest in GTN in April 2015 to TC PipeLines, LP along with the impact of a stronger US dollar on the Canadian dollar equivalent earnings from the LP. Preferred share dividends were $23 million for three months ended December 31, 2015 similar to 2014 levels. Now moving on to cash flow and investing activities on slide 23. As discussed in Investor Day in November, we are now including a distributable cash flow as a supplementary performance metric. We do however reiterate our old school view that earnings matter and EPS continues to be our primary performance measure. Cash flow remains solid with funds generated from operations of approximately $1.2 billion in the quarter and reaching a record $4.5 billion for the year. For the fourth quarter, comparable distributable cash flow was $778 million or $1.10 per share. On a full-year basis comparable DCF rose to $3.5 billion or $5 per share from $3.4 billion or $4.81 per share in 2014 driven by higher funds generated from operations partially offset by higher maintenance capital primarily on ANR. Maintenance capital on our Canadian regulated natural gas pipelines was $347 million in 2015 versus $355 million in 2014. Capital spending totaled $1.2 billion in the fourth quarter driven principally by construction activities in Mexico, on the NGTL System, ANR, Northern Courier and the Canadian Mainline as well as the Napanee power generating facility. Equity investments of $190 million in the quarter related to spending at Bruce Power and Grand Rapids while acquisitions of $236 million reflects the exercise of an option to acquire the additional ownership stake in Bruce B from OMERS in December. Now turning to slide 25, liquidity and access to capital remained strong. At December 31, our consolidated capital structure consisted of 30% common equity, 5% preferred shares, 4% junior subordinated notes and 61% debt net of cash. Book equity in the quarter was negatively impacted by the non-cash impairment charge on Keystone XL. Our flagship A grade senior unsecured credit ratings at TCPL were however reaffirmed all with the stable outlook. Our liquidity remains sound comprised of predictable and growing cash flow generated from operations, well supported commercial paper program is backed by approximately $7 billion of undrawn committed credits facilities and our ongoing access to capital market in both Canada and the US across our capital structure on compelling terms. At December 31, we had $850 million of cash on hand and we continue to maintain significant capacity on all of our debt and equity shelves. On January 1, 2016 we closed the sale of 49.9% of our total 61.7% interest in PNGTS to TC PipeLines, LP for US$223 million including the assumption of US$35 million of propositional PNGTS debt. The drop-down of our remaining US natural gas pipeline assets into TC PipeLines, LP remains an important financing lever for us subject to actual funding needs, market conditions, the relative attractiveness of alternative capital resources and approvals at TC PipeLines’ Board and our Board. Also in January, we raised US$1.25 billion to the issuance of $400 million of 3.125% coupon three-year notes and $850 million of 4.875% 10-year notes. Along with prefunding activity completed in late 2015, over half of our current 2016 financing needs are already in place. Looking forward, we are developing high-quality assets under our capital program. These long life infrastructure projects are supported by long-term commercial arrangements and once completed are expected to generate significant growth in earnings and cash flow. Our capital program is comprised of $13 billion of near-term projects and $45 billion of commercial secured medium and longer term projects each of which remains subject to key commercial or regulatory approvals. The portfolio is expected to be financed through our growing internally generated cash flow and a combination of funding options including senior debt, preferred shares, hybrid securities, additional drop downs of our US natural gas pipe assets and TC Pipelines, LP subject to the criteria I outlined as well as where appropriate project financing and portfolio management including the potential introduction of partners. Additional financing alternatives available include common equity through a dividend reinvestment program or lastly discrete equity issuance. These various levers will be assessed on a relative basis in the context of market conditions, maintenance of key credit metrics and through the wins of per share economics. Next, I’d like to spend a moment on our 2016 outlook. More information is contained in our 2015 annual management’s discussion and analyses which was filed on SEDAR earlier today and available on our website. The Canadian Mainline will continue to operate under the terms of the NEB 2015 to 2020 tolls decision and we expect 2016 earnings to be slightly lower than 2015 due to a declining investment base. We expect NGTL system investment base to continue the increase as we connect new natural gas supply in north-eastern DC and Western Alberta and respond to continued growth in market demand which will have a positive impact on NGTL system earnings in 2016. Under the current regulatory model, earnings from Canadian regulated natural gas pipelines are not materially affected by short term fluctuations in the commodity price of natural gas, changes in throughput volumes or changes in contracted capacity levels. Many of our US natural gas pipelines are backed by long-term take or pay contracts that are expected to deliver stable and consistent financial performance. In January, ANR Pipeline filed a Section 4 rate case with the Federal NG Regulatory Commission for increased rates on that system. We anticipate that the proposed rates will take effect in the third quarter of this year. These rates are subject to customer refund depending on the level ultimately approved by FERC which is based on the outcome of the regulatory process or settlement negotiations with the ANR's customers. Earnings from our Mexican business are expected to increase in 2016 due to addition of two new pipelines Topolobampo and Mazatlan which are anticipated to be placed in service in the fourth quarter. Results from our current operating assets in Mexico are expected to be consistent with 2015 due to the nature of the long-term contracts under pinning our Mexican pipeline systems. In liquids, excluding specified items, our 2016 earnings expected to be slightly lower than 2015 due to short-term contracts expiring on Cushing Marketlink and weakened market conditions related to the lower crude oil price environment. Subsequent to the Presidential Permit denial, future expenditures on Keystone XL will be expensed pending further advancement of this project as well as mentioned earlier we have also ceased to capitalize the interest on the project effective November 6, 2015. Over time, we expect liquids pipeline earnings to increase as projects currently under construction and in development are placed in service. In energy, we expect 2016 earnings to be similar to 2015 assuming the net effect of the following. The acquisition of the Ironwood power plant in Pennsylvania and increased ownership in Bruce Power offset by increased planned maintenance activity at Bruce, a lower US power marketing contribution, lower realized capacity prices in New York, lower contributions from our power operations in Québec, lower North American energy commodity prices and higher GHG emission cost in Alberta. Although a significant portion of energy's output is sold under long-term contracts, revenue from power and capacity that is sold under shorter term forward arrangements or at spa prices will continue to be impacted by fluctuations in commodity prices and changes in seasonal natural gas storage price spreads will impact natural gas storage earnings. We continue to progress our corporate restructuring and business transformation initiative. In 2015, we incurred $99 million pre-tax in restructuring costs net of flow through and sharing arrangements with our customers. Looking forward, net of the flow through our realized benefits under these arrangements we expect to see approximately $50 million or $0.05 per share in annual cost savings to the bottom line beginning in 2016. In summary, we expect our 2016 earnings after excluding specific items to be higher than 2015. In terms of capital expenditures, we expect to spend approximately $6 billion in 2016 in our growth projects, maintenance capital and contributions to equity investments. Capital spending related to natural gas pipeline projects includes NGTL system expansion and investments in the Canadian Mainline, Tuxpan-Tula and Topolobampo. Liquids pipeline projects include Grand Rapids, Northern Courier and Energy East, while energy projects include Bruce Power and Napanee. The total includes approximately $1.2 billion for maintenance capital of which approximately $450 million will be for Canadian natural gas pipelines. The $1.2 billion is up from Investor Day partly due to timing of some 2015 spend has shifted to 2016 and the re-categorization of some ANR Capex from growth to maintenance which regardless will accommodate increased volumes and form part of rate base for rate making. In closing, despite the various specific items, the company produced strong full-year and fourth-quarter operating results under challenging energy market conditions. Comparable annual earnings per share and funds generated from operations in 2015 were up 3% and 6% respectively compared to 2014. As mentioned earlier today we announced a 9% increase to the quarterly common share dividend. This is the 16th consecutive year of increases and is a testament to our resiliency. With a focus on capital discipline and long-term shareholder value balance with maintaining key credit metrics, we have to-date repurchased 7.1 million common shares representing approximately 1% of our flow under our normal course issuer bid. We made good progress in 2015 and adding to our term capital project inventory and advancing others through the construction phase. Our complimentary portfolio of assets is expected to continue to deliver positive results through all phases of the business cycle. We remain well positioned to fund our $13 billion of near-term commercially secured projects underpinned by our enduring financial strength and our A grade credit ratings. Our blue-chip portfolio of critical energy infrastructure projects is expected to generate significant growth and earnings and cash flow for our shareholders and as a result we expect to continue growing our dividend by 8% to 10% annually through the end of the decade. That's the end of my prepared remarks, I’ll now turn the call back over to David for the Q&A.
David Moneta: Thanks, Don. And before - just a reminder, before I turn the conference call back to the conference coordinator reminder that we will take questions from the investment community first and then once we’ve completed that we’ll turn it over to the media. With that, I’ll turn it back to the conference coordinator.
Operator: [Operator Instructions] Our first question is from Linda Ezergailis of TD Securities. Please go ahead.
Linda Ezergailis: Thank you. I have a question about your Alberta Western power operations, I don’t know maybe if Bill you can help me out. I think this is the first quarter I can remember you actually lost money. I’m a bit surprised to see an expectation that 2016 comparable earnings in Western Power is supposed to be flat year over year on a full-year basis. I’m just wondering kind of what informs that outlook and if you're - what sort of strategic thinking you’re putting forward with respect to your PPAs and whether or not you might consider doing what NMAX did in just putting it back to the balancing pool?
Bill Taylor: Sure, Linda it’s Bill here. As you may realize there is a lot of turmoil in the Western Power market right now. Still question as to exactly how the government policies and when they will be implemented with regards to increased carbon costs as well as there is discussions that are just beginning between government representatives and coal powered producers in Alberta that will result in some timing discussions around changes to the supply mix. So there is a fair bit of uncertainty with regards to your question on the PPA turn back. We are aware that the discussions I guess are underway between NMAX and the balancing pool with regards to that potential turn back. But again it's a preliminary in terms of understanding how that may impact the market but we would view that as a supply response. We think that the current price environment is not sustainable and that to the extent that the government policies are aimed at promoting renewables and new supply to come in to replace the retiring coal capacity, price response is going to have occur. So at this point, it’s a period of turmoil but we’re optimistic that things will turn around.
Linda Ezergailis: And just a follow-up question with respect to the corporate expenses, the $50 million savings, off of what base is that. Q4 corporate expenses were a little bit higher, so I’m wondering I just kind of a 2015 full-year base to generate those $50 million savings or is there something unusual that was going on in Q4?
Don Marchand: Hi Linda, it’s Don here. The $50 million is actually spread out across the organization, it’s not all domiciled in corporate. I’ll let Glenn speak to the change in the corporate section.
Glenn Menuz: Hi Linda, its Glenn. So included in our comparable corporate EBITDA, it is the portion of the 2015 severance cost that recovered through a regulatory structures and our existing tolling arrangements. There is no bottom-line impact to that because although we do show the cost here, they are recovered either in gas pipelines or in liquids pipeline. So there is no bottom-line impact that's why we didn't strip anything out but what we're trying to do is keep all of the restructuring cost together in corporate and only strip out those anomalous ones that were getting to the bottom line.
Linda Ezergailis: Okay thank you, so I’ll just take on the aggregate at consolidated basis the $50 million improvement year over year. Thanks.
Operator: Thank you. The next question is from Paul Lechem of CIBC.
Paul Lechem: Hi good afternoon just wondering given the relative performance of TransCanada's stock versus TC Pipelines to-date year-to-date. If you’ve had any updated thoughts about the speed or the timing of drop downs and if TransCanada were to self-finance, if you chose not to do drop down, would that change your dividend growth outlook through the period? Thanks.
Don Marchand: Hi Paul, Don Marchand here. The LP remains an important lever for the company but as I mentioned the criteria are actual funding needs market conditions and the relative attractiveness of alternate capital sources here. So currently the LP market is clearly strained at present and we would have more compelling sources for subordinated capital in the form of preferred shares and hybrid securities and the likes. So we’re fortunate we have the option to move to different products in which we have a long history and that said, the pipe LP is a - it’s all FERC regulated pipes and once that market stabilizes and certainly in a declining interest rate environment, we’ll see how it stacks up against those other sources. So we haven't closed the door on the LP at this point by any stretch but certainly we have better option at this point. In terms of changing the growth rate of overall TransCanada by self-funding, the LP is a couple billion dollar vehicle in the context of a $65 billion, $70 billion company. So I don't think it would have much of an impact on the growth rate of broader TransCanada by changing that relationship.
Paul Lechem: Thanks. Second question on the gas pipelines Coastal GasLink and PRGT, how much is being spent getting them through the regulatory process to-date? I understands it’s recoverable. And then related question, do you have the same recovery mechanism with Energy East in terms of regulatory cost if by chance - in the event it didn’t go forward. Thanks?
Alex Pourbaix: Sorry. Paul, it’s Alex. I missed the very first part of your question about the two -
Paul Lechem: Sorry, how much has been spent on getting them through the regulatory process to-date on those two.
David Moneta: Paul, it’s David. The amount is highlighted in our quarterly, about %300 million spent on Coastal GasLink approximately E400 million on PRGT.
Paul Lechem: Okay. And do you have a recovery mechanism on Energy East for the regulatory cost if it didn’t’ go through?
Paul Miller: Hi, Paul, it’s Paul Miller here. We do. We have a development cost recovery mechanism.
Paul Lechem: Okay, thanks very much.
Paul Miller: Thanks, Paul.
Operator: Thank you. The next question is from Ben Pham of BMO Capital Markets. Please go ahead.
Ben Pham: Thanks. Good afternoon. I wanted to go back to the question on Alberta Power and the results in the quarter and maybe just ask the question again maybe just missed the response. If you guys are losing money in Q4 and that’s pretty much the first quarter you would be seeing that in ‘15 why are you expecting your Alberta Power to be flat coming to ‘16 versus ‘15.
Russ Girling: Well, I guess the first thing would be that the results in one quarter may not be predictive of what the full year outlook would be in ‘16. I would go back what I just said I guess in response to Linda’s question that there is a lot of things in play at the moment and we believe that things will have to and will return to more normal levels in order to incentivize the necessary supply response that is going to be needed in Alberta as the core PPAs and the plant, the core plants come to an end, prices in the $30 to $33 range is which is what we saw in the fourth quarter - I guess that was on the year, are just not adequate to incentivize the necessary new supplies that are needed. Let alone the much higher cost renewable power which the policies of the new Alberta government are aimed at promoting that renewable power and doing so in the context of the competitive market. So you add those things up and we just we have a more optimistic view that the prices will return to higher levels and notwithstanding the obvious difficult quarter that we have.
Ben Pham: Okay, I got you. More pricing outlook, and maybe can you expand on what happened in the quarter in Power. I mean, if you were I think more than half hedged and spot was down about $10 or so and was it some sort of carbon tax that you are off there or some sort of maintenance you had to put in there, your expensing. I mean, what was going on there?
Russ Girling: Well, I guess without getting into specifics of how we may - availability and how we may dispatch our facilities, it's a combination of volumes produced and net realized prices. We did have improved results versus part as a result of our comprehensive hedging program. But I think that’s about as far as I can go on that.
Ben Pham: Okay, that’s great. Thanks.
Russ Girling: Thanks, Pham.
Operator: Thank you. The next question is from Andrew Kuske of Credit Suisse. Please go ahead.
Andrew Kuske: Hey, good afternoon and maybe just building upon Don’s comments on EPS matters in an old school kind of way, do you think there's some opportunities in the market environment that is really old school versus new school given we’ve seen such a shrug sell off in the MLPs that have really followed this new school format?
Paul Miller: It’s Alex. From our perspective, there's many ways we can grow the company. I mean, at times in the past we've been very active on the M&A front. For much of the past decade we just haven't seen values on asset acquisitions or corporate acquisitions. And so you’ve seen us get involved in a lot of Greenfield and Brownfield situations. I think it is very clear that that there has been a shakeout in terms of valuations of companies. We are going to be very, very disciplined, but at the same time in situations like this that we do maintain that a credit rating and that strong balance sheet. So, as I said we are going to be cautious, we are going to be disciplined. We are going to look for transactions that are accretive that fit our strategy, but we do think we are in a pretty good opportunity phase right here from that perspective.
Andrew Kuske: Okay, that’s very helpful. And then maybe just more specifically with Canadian 10-year sitting below 1% today, how do you think about capital market access, in particular debt markets. And Don, I know you went through some of the parameters early on and the issuance you’ve done already on the debt side, so how do you think your relative spreads versus say others especially in the new school category?
Don Marchand: Yeah, well, we’ve just did 10-year money in the states 4 and 7/8s with a pretty healthy blue chip order book there. Spreads have elevated for us as well, but certainly not to the same extent as many other participants in the sector right now. It is what it is. We look in terms of decades here. There will be times where it’s very buoyant markets, sometimes it’s a little tougher. We won't be cute on funding. When there is opportunities to get money in the door as we just did with good market demand we will take advantage of that. We have seen some other elements of the capital structure pricing move out and we’ve seen the prep market move more into the 5% plus area. A year ago we were issuing preps at 3.80. The hybrid market in the US is probably 7%, handle pretax probably 5% area after tax at this moment in time. So we will be prudent in how we approach this. We’ve already got half of our funding for the year already in place here and we will just chunk away the rest, but again we won’t be cute on trying to get the last 2 or 5 basis points here when the market is there.
Andrew Kuske: Okay, that’s very helpful. Thank you.
Russ Girling: Thanks, Andrew.
Operator: Thank you. The next question is from Robert Kwan of RBC Capital Markets. Please go ahead.
Robert Kwan: Good afternoon. Historically you’ve - on the M&A side you've typically taken advantage to get assets that might not otherwise come available from sellers that have been under pressure or the bankruptcy proceedings, so I am just kind of wondering if you guys look at your wish list within the landscape do you see that - are we getting any closer as you look at specific assets that you might want to get to see no shaking loose or are you actually even going out and trying to initiative a few discussions to get out some assets that are on your wish list?
Russ Girling: I think in all three of our core businesses, Robert, there are assets that we obviously covet and keep on our watch list. And it is usually the highest quality of assets that there are on our wish list and lot of times, those aren’t the ones that are going to be in financially distressed situation, so some of those are still going to be relatively expensive. But I think your point is well taken is that there are situations in the current marketplace that may reveal themselves to buy what I would say is generational assets at reasonable prices. And we’ve maintained our financial capacity to be able to take advantage of times like that. And if those opportunities arise as Alex said, we are extremely disciplined in how we look at them. But certainly you’ve seen historically move when good opportunities arise, we do have the capacity to executive on them if they are there.
Robert Kwan: I guess just more specifically, do you think that there is a reasonable probably that some of these things on your wish list might shake list in 2016?
Russ Girling: I think that’s really, really hard to say at the current time, Robert, is I think we are fairly early into the current financial situation out there and how it sort of plays itself over the coming months with counterparties will be - it’s still uncertain. So I would say we are watching and attentive, but it’s still premature.
Robert Kwan: Fair enough. Just last I can just turn back to the Alberta power market, maybe Bill you answered the question with respect to needing to see a supply response or price response to get new capacity, but I am just wondering as the consultations are going on in terms of how to implement the climate change rules and the power market is ongoing forward. What is your recommendation? Are you guys of the camps at the spot market is what’s going to be needed maybe outside of renewables or even having this quasi Rec plus spot or are you guys pushing for something more highly contracted both on the renewals and the gas side?
Bill Taylor: Okay, great question, Robert. It’s Bill here. And our official I guess submission that we made to government in regards to the climate change debate suggested that to the extent that they wanted to achieve meaningful change to the supply mix in Alberta which does appear now that we've seen their policy statement to be the direction they wanted to go. We specifically suggested to them that they indeed needed to move to a more highly planned and contracted approach. We've also augmented our discussions in consultation with government to suggest to them that there is other means to do that instead of contract if that's not something government wants to purse and that would be forms of capacity markets. There are some other things that I think are under discussion and consideration, but again this goes back to my earlier comments that these are changing times. This current structure is not sustainable in terms of it promoting the necessary supplies and the desired supply mix that has been outlined in the policy. So we do expect that to your question that there will be change. Exactly what that will look like is a work in progress and we are fully engaged in those discussions.
Robert Kwan: That’s great. Thank you very much.
Operator: Thank you. The following question is from Steven Paget from FirstEnergy Capital. Please go ahead.
Steven Paget: Thank you and good afternoon. Grand Rapids and Houston Lateral, has the in-service dates been delayed into 2017 and what was the reason for those delays?
Paul Miller: Steven, it’s Paul here. Grand Rapids, we are planning on having the first phase mechanically completed by the end of this year and then we'll fill the line for in-service into 2017/. And that has actually been our plan. Houston Lateral has been delayed, it’s going to be delayed into the first half of 2017 and we continue to experience delays attributable partially to weather and partially to project execution challenges.
Steven Paget: Thank you. Looking at overall business development and acquisitions, how is the team dividing it’s time between divisions, gas pipelines versus oil pipelines versus power versus new ventures?
Alex Pourbaix: Steven, it’s Alex. I would say that, TransCanada, we don't suffer from a shortage of development opportunities. As you’ve heard us talk about I mean even without looking at new initiatives we have about $13 billion of new projects coming down the pie, but we - and as a result of that we really try to focus on the opportunities that we think are going to create the most value for our shareholders longer term. We don't sort of designate dollars to any of our businesses. We really year have also businesses compete for capital. And I would say that traditionally we've seen opportunities at different times in all of those business areas.
Steven Paget: Thank you, Alex. Paul, thank you as well. Don, let me just say this. If you can’t finance cute, I am sure many on the call would help you finance ugly.
Don Marchand: Thanks, Steven.
Operator: Thank you. The following questions is from Jeremy Tonet of JPMorgan. Please go ahead.
Jeremy Tonet: Good afternoon.
Russ Girling: Hi, Jeremy, how are you?
Jeremy Tonet: Good thanks. Turning to the US transition business, there is a lot of stress in the E&P space these days and the questions around counterparty risk and credit risk is a big topic of conversation. How do you see that risk within your business right now and how do you look to manage that?
Don Marchand: I will start and I will let Karl jump in here. A pretty healthy complement of our customer base in our US gas pipelines is highly rated LDCs utilities. Where we do have cluster of E&P exposure would be on the out of the Utica Marcellus at the top end of ANR. And we haven't seen any real wavering there and I think our path to market is highly competitive on that asset and so we continue to see volumes ramping up there. And no strains on that front at this point. Karl?
Karl Johannson: I don’t know if I have much to add that. We’ve got a good base of creditworthy LDC type of companies and as Don said, maybe some of the producer on the producer segment and mostly coming out of the Marcellus in the US broadly are not investment grade, but, yes, so far we haven’t seen them - deterioration in their ability to start their contracts, but obviously we are watching that closely.
Don Marchand: Yeah, in terms of the broader portfolio, the E&P exposure would be again top end of ANR and then in the NGTL system where we do have a significant Q4 those wanting to get on the system and any counterparty losses suffered are form part of cost to service. The balance of the portfolio is - counterparty risk is pretty solid. The most of the energy business is single A, double A, triple A and some cases customer base is, Mexico is all CFE and the liquids business is the top end of shippers and in most of these cases, our assets, the path to market, the cost of getting to market on these is highly competitive. So we are monitoring closely, but we feel okay on a portfolio basis on counterparty risk.
Jeremy Tonet: Great. So if I heard you right, would it be safe to say where there is exposure, the very competitive path in the re-contracting process would probably be pretty easy there?
Karl Johannson: I think that’s a fair comment. If you look at our ANR system, it’s still pretty cheap even after our filing for our new rates still pretty cheap - using our system. So we do believe if we lose some customers along there that ultimately we will be able to fill that back up again with other customers and other new sources of gas.
Jeremy Tonet: Great. Thanks for that. And then just in terms of maintenance CapEx real quick, just wondering if you could expand on the step there. If you could provide any details and is this kind of a new run rate going forward where you talked about for ‘16 and do you still expect DCF coverage to be similar to the targets you discussed in the past?
Don Marchand: Yeah, it’s Don here. It is maintenance CapEx is elevated in ‘16 in the $1.2 billion range. Again, $450 million of that is Canadian regulated the gas pikes. We continue to execute the - in accordance with NEB warrant, accelerated maintenance capital on the NGTL system as well as I noted ANR is elevated at this time to accommodate increased volumes and what we previously classified as growth capital, some of that has been reclassified as maintenance but it will form part of rate base for rate making. Once we are through these programs, we shouldn’t see that start dropping next year into ‘17 and further in 2018 we see a stabilized maintenance capital run rate of about $700 million-ish of our offer base business and then probably another $100 million at Bruce again which we earn a return on.
Jeremy Tonet: So the DCF coverage ratios longer term, those targets remain kind of unchanged at this point?
Don Marchand: Yeah, we see DCF coverage of with the two handle the next couple of years here and as we look out at least that going forward.
Jeremy Tonet: Great. Thank you very much. Operator Thank you. We will now take questions from members of the media. [Operator Instructions] First question is from Geoffrey Morgan at the Financial Post. Please go ahead.
Geoffrey Morgan: Hi, good afternoon. Thanks for taking my question. Relating to some of the downsizing that the company had done I believe in December, wanted to ask if that process is now complete and how many staff that may have affected and furthermore whether or not the company intends to do any further through this year?
Don Marchand: Yeah. It's Don here. The staffing levels that were affected were probably around 10% of our staff in the fall with higher percentages, the more senior levels, the VP and Director probably in that 20% range. So that's the quantum of people we dealt with in the fall here. In terms of going forward, we continue with additional phases here of efficiency and effectiveness work and as we've reorganized the company and pushed more tasks into the business units, we now are focusing our attention on making that more efficient at those levels and avoiding any duplication. So I wouldn't say we’re done at this point.
Geoffrey Morgan: Okay, thank you.
Operator: Thank you. The next question is from Ashat Dutta of Plattes. Please go ahead.
Ashat Dutta: Hi, good afternoon. Just had a couple of quick questions if I may. You had talked about in your press release about the keystone pipeline system and taking on board additional long-term contracts, just wanted to find out how much, what was the volume for that, the additional capacity?
Paul Miller: Hi, Ashat. It’s Paul Miller here. We took on an additional 15,000 barrels per day of 20 year contracts.
Ashat Dutta: And Paul, it was primarily the heavy barrels?
Paul Miller: The way our toll structure is set up is, it's a fixed variable structure. So the shipper will pay a fixed toll for the capacity and then they can elect whether it’s a light barrel or a heavy barrel and they just pay the appropriate variable toll associated with the type of crude that they move.
Ashat Dutta: Just a follow-up on that. So I presume you will still have about 45,000 spare capacity on that line?
Paul Miller: We do. I think it's probably closer to 40,000 if I didn’t have range. Yes.
Ashat Dutta: Okay. And that's available for spot?
Paul Miller: It is.
Ashat Dutta: Okay. And another very quick question about the Houston lateral, I did hear you talking about project execution challenges, could you elaborate just a little bit as to what that is?
Paul Miller: Sure. And maybe I’ll back up a little bit, on the weather side, there has been a lot of rain in the Houston marketplace, so in the Houston area and that has hampered our ability to bring Houston lateral and the terminal into service has recently contemplated here in 2016. The project execution that I spoke to earlier, we are having some, let's call it, the performance and productivity issues with some of the contractors that we engage to build the terminal for us.
Ashat Dutta: Okay, all right. Thank you very much, Paul.
Paul Miller: You're most welcome.
Operator: Thank you. The next question is from Rebecca Penty of Bloomberg News. Please go ahead.
Rebecca Penty: Hi, thanks for taking my question. I have a follow-up from some of the discussion earlier about M&A and whether TransCanada is looking at any assets right now. As you know, the US power market has been interesting for a lot of companies, including Fortis earlier this week and I’m just curious whether if you could add some color to what's going on there, whether you see any opportunities, whether it’s getting - valuations are getting too pricy, et cetera?
Alex Pourbaix: Rebecca, it's Alex. There has certainly been a lot of - a few interesting things going on in the power markets. I think from our perspective, as I said, we're really focused on opportunities that are going to be in line with our strategy, with the regions that we have competitive advantages in and we’re looking at opportunities that are going to be accretive to our shareholders on an EPS basis and a value perspective and I mean, never say never, but we keep looking, but we are a long way from - a fair bit of way from anything right now.
Rebecca Penty: Thank you.
Operator: Thank you. The next question is from Lauren Krugel of the Canadian Press. Please go ahead.
Lauren Krugel: Good afternoon. The other week, the NEB directed TransCanada to do some additional work on its application for energy if they get to refine and organize it a little bit more, just wondering if you had an idea of how much work that's going to end up being on your part as well as how long it's expected to take to get in a complete application to the NEB?
Alex Pourbaix: I really - this thing really from our perspective, and sorry, it's Alex Pourbaix by the way, this is kind of a more of a housekeeping kind of activity. The original application was over 30,000 pages. Since that time, we've made amendments and what the NEB, I think, in essence, is asking us to do is to really kind of put those various documents together into one easily read document. I think it's quite a reasonable request, it will take us a bit of time and a bit of effort to do it, but it’s just really pretty simple stuff.
Russ Girling: I think just to be clear, Lauren, we don't expect that that in and of itself will impact the timeline of the National Energy Board completing its completeness review and then moving to the next step of setting a hearing process.
Lauren Krugel: Okay. And so no change to the start-up date, you’re still committed to the 2020, I heard you say earlier?
Paul Miller: Hi, Lauren. So Paul Miller here. We’re still assessing the impact of the NEB changes both the review period as well as the other conditions they’ve attached to it, so we’re still targeting 2020, but I think it's fair to assume with an extension of the regulatory process may translate into a delay in bringing, but we're still reviewing the impact.
Lauren Krugel: Okay, thank you.
Paul Miller: You're welcome.
Operator: Thank you. The next question is from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, thanks for taking my question. You said regarding the work that the NEB asked you to do, the original application was over 30,000 pages. At the time, all the documentation was in French, so can we assume that the whole application will be translated into French?
Paul Miller: Yes. Ultimately, the application will be done in French, also.
Unidentified Analyst: Okay. And maybe if I may, there was an announcement last week in Quebec in the province to potential creation of 120 jobs. Since then, it seems to get more - we still have some credits regarding the project, and the province, have you did any reflection of why the message doesn't seem to pass in the province regarding this project?
Alex Pourbaix: It's Alex Pourbaix responding again. We obviously have some work to do in the province. I think the people of Quebec have some very legitimate concerns about the environmental impact, the economic impact of the project. That announcement that you referred to with the ABB announcement, I mean, that's just the first of many examples of the kind of opportunities that we think this project is going to provide to not just the people of Quebec, but to the people across Canada, where the project is located and I think a big part of this is communication. We have spent a lot of time communicating with stakeholders, with landowners, we've had many, many thousands of meetings, we've had 130 open houses, we've met with 7000 landowners and I just, I think the perspective really that we need - that we view is that we just, we need to continue to get our message out, we need to do it at a grassroots level and the kind of announcements you see and the kind of engagement we’re doing, we’re very confident that over time, people in all the provinces are going to see the benefits of the project and how seriously we take our commitment to transport the commodity safely.
Unidentified Analyst: Okay, thanks.
Operator: Thank you. The following question is from Shaun Polczer of Merger. Please go ahead.
Shaun Polczer: Hi, I'm not sure if I heard properly earlier in the call, I think Russ was saying that you might be willing to consider partners on specific projects, and I'm just kind of wondering what kind of projects it would be and what kind of partners you'd be looking for?
Don Marchand: Yeah. It’s Don Marchand here. Yeah. I did mention it as a lever from a financing perspective. Some of our large-scale projects, depending on the timing as to how they’re sequenced and then how many happen at one potential avenue for us to fund projects is to bring in partners. We continue to have a lot of inbound calls from long duration asset managers looking to co-invest in many of these 20, 30, 40-year potential secured revenue streams. So it's something we would contemplate, but depending on the circumstances.
Shaun Polczer: But would those be oil pipelines or power plants or all of the above?
Don Marchand: It could be all of the above.
Shaun Polczer: Okay. And then a second question is, I saw the report that pipelines in those kinds of assets are actually attractive acquisition candidates, there is a lot of interest from pension funds and potential buyers, some companies are marketing these assets like Meg has the access biplane going, are these assess that you would be interested in buying or even alternatively, maybe selling?
Russ Girling: I think as we said earlier is that the changes in the marketplace, from both a commodity perspective, but as well from a financial perspective, with both the MLP market, the high yield market has changed the nature of financing alternatives available to a number of people that hold those assets in the marketplace and as a result of those things, good assets appear to potentially be coming to market in the months and we’ll remain attentive to those kinds of things. I think as I said earlier, I think it’s logical that they may come, they are high-quality assets and as long as they can be transacted at reasonable price, we’re going to be very interested in those that fit as Alex said our long-term strategy, as well as can provide the financial accretion and return metrics that we have in place for all of our investments.
Shaun Polczer: Okay, thank you very much. Just one little quick question, would that include some of these regional oil sands gathering systems or pipeline networks in Northeast, would you be prepared to go down to kind of that macro level or are you still preferring to do these big mega projects?
Russ Girling: I'd say that historically you've seen us move on, on assets from the tens of millions to the multi-billions of dollars as long as they are good strategic fits with our existing portfolio of assets and we have reasonable ability to add value and have a competitive advantage. That's the kind of thing that we’re looking for. So we're not really price driven at all and in terms of the mega projects, we do have a portfolio of what we call four of those right now and they are across all three of our businesses, there is two major LNG lines going to the West Coast. There is Keystone XL and energy on the crude side and we recently announced the refurbishment of six reactors at Bruce Power. So certainly, we've got lots of long-term what I call mega projects in the short run, as Alex said, we've got $13 billion of projects that we currently have underway. They again are across all three of our business units, we expect them to come and service between now and 2018 and in that fairway, what I would call organic growth, there continues to be opportunity. We think it's places like Mexico, for example, that CFD is coming out with a number of bids on the horizon that we’re very interested in. We’ve built ourselves I think a very competitive position in Mexico on our NGCL system. There still continues to be demand for increased, both receipt capacity on our system, and potentially delivering capacity on our system. So we see incremental growth opportunities there, on our US pipeline systems through things like ANR for example, GTN, where folks want to get access for new and growing gas supplies to market. We’re well-positioned for those. So, even within that sort of fairway of what I would call smaller projects that are closer to home or organic growth, I would expect that $13 billion of projects to continue to expand as well. So I think Alex said earlier, we’re not constrained by opportunities and we'll be very disciplined to allocate our capital to those that provide the best returns for our shareholders over the long-term.
Shaun Polczer: Excellent. And then, finally, just one last one, are you planning to reapply for KXL, is there any thought given to that or is it basically that that project?
Russ Girling: The Keystone XL project, the demand for the Keystone XL project I think remains as strong today as it was when we made our application. The US is a very, very attractive market, it's where the bulk of clean production goes today and it traverses through a large part of - the most prolific part of the US new production in the Bakken. So it's very much still in demand, our shippers remain very interested in seeing that project move forward and we will continue to look for an opportunity to advance that project in the future. But as a result of the denial, we are in a situation where we have to take the write-down, as well as look to recover those amounts that what we call an arbitrary denial has cost us, but make no mistake that the need for the project is unchanged and as long as our shippers remain interested in the project and committed to doing it, TransCanada will look for a way to make that project work sometime in the future.
Shaun Polczer: Excellent, Russ. Thanks for your answers. Thorough and awesome as always.
Russ Girling: Thanks very much, Shaun. Just a reminder to remaining participants, if you could just limit your questions to essentially one and then a follow-up, just in the interest of ensuring everybody has an opportunity. Thanks again.
Operator: Thank you. The next question is from Chester Dawson from the Wall Street Journal. Please go ahead.
Chester Dawson: Yes, thanks. I just wanted to clarify, I think Paul Miller earlier said in response to a question that the in-service date for Energy East might be pushed back from the 2020 timeline on the basis of the various policy changes that are being more than Ottawa. And I’m curious to know whether that likely means a year or two, are we talking about much later in the decade?
Russ Girling: First of all, this is a very complex project that has sort of many facets, one of which is a regulatory process and certainly we are assessing the impact of those at the current time, our current thinking is that we still believe that we can bring that pipeline into service by - at the end of 2020, that's currently our plan. The announced changes have not impacted that at the current time and, but we will continue to assess all of these factors as we move forward and we will update the marketplace. If we, if there are changes in our service data, but at the current time, our thinking remains for a late 2020 in-service.
Chester Dawson: Okay, thank you.
Operator: Thank you. The next question is from Elsie Ross with the Daily Oil Bulletin. Please go ahead.
Elsie Ross: Hi, the Mayor of Quebec City recently was quoted as suggesting that it was quite critical even though we support synergies, critical of the consultation process, and Alex talked about all the thousands of people you’ve met with in the process, but are there things that you would look at changing possibly to perhaps address some of those concerns as the Mayor?
Alex Pourbaix: Elsie, it's a good question. I think one of the things that we would acknowledge here is that we have to continue and probably get better at listening to our stakeholders. Russ mentioned, this is a very complex project, but I would just point you to one, I think, pretty powerful fact, since we originally applied for the energies pipeline, we have made over 700 amendments to the route of that pipeline and those amendments have been made overwhelmingly because of consultations that we’ve done with communities and stakeholders along the road. So I really do think that we really are listening to people, when Mayors have ideas, we are very anxious to sit down with them and get their views and if we can accommodate, we’re very willing to do so, it's all about communication.
Elsie Ross: Okay, and that’s Alex?
Alex Pourbaix: Yeah.
Elsie Ross: Okay. Thank you.
Operator: Thank you. This concludes the question-and-answer session. I would like to turn the meeting over to Mr. Moneta. Please go ahead, sir.
David Moneta: Thanks very much and thanks to all of you for participating today. We very much appreciate your interest in TransCanada and we look forward to speaking to you again soon. Bye for now.
Operator: Thank you. The conference call has now ended. Please disconnect your line at this time and we thank you for your participation.